Operator: Good morning, ladies and gentlemen. My name is Tyrone. I will be your conference operator today. At this time, I would like to welcome everyone to the United Therapeutics Corporation Third Quarter Earnings Conference Call. [Operator Instructions] Remarks today concerning United Therapeutics will include forward-looking statements, which represent United Therapeutics' expectations or beliefs regarding future events based on current assumptions. United Therapeutics cautions that such statements involve risks and uncertainties that may cause actual results to differ materially from those in the forward-looking statements. Consequently, all such forward-looking statements are qualified by the cautionary language and risk factors set forth in United Therapeutics periodic and other reports filed with the SEC. There can be no assurance that actual results, events or developments referenced in such forward-looking statements will occur or be realized. United Therapeutics assumes no obligation to update these forward-looking statements to reflect actual results, changes in assumptions or changes in factors affecting such forward-looking statements. Thank you. Dr. Rothblatt, you may begin your conference.
Martine A. Rothblatt: Thank you, operator. Thank you, everybody, for dialing in to United Therapeutics Third Quarter 2013 Financial Results. My name is Martine Rothblatt; and I'm joined today by our President, Dr. Roger Jeffs; our Chief Financial Officer, John Ferrari; and our Chief Strategy Officer, Andrew Fisher. Andy is particularly available to answer any questions with regard to intellectual property. I'm extremely pleased with the results of the third quarter. Our medicines are now prescribed for more PAH patients in the U.S.A. than any other company. Total net revenues for the quarter ended September 30 were $302.2 million, up from $242 million for the quarter ended September 30, 2012. Gross margin from sales was $269 million for the quarter ended September 30, compared to $212 million for the same quarter last year. I'd also like to draw attention to the fact that we now report non-GAAP earnings in lieu of earnings before noncash -- noncash charges. And this report of non-GAAP earnings is the result of helpful suggestions from our shareholders that this would bring our non-GAAP earnings reporting more in line with that of many of our other peers. The non-GAAP earnings were $2.98 per basic share or $2.78 per diluted share. As you can see from these numbers, United Therapeutics' revenues are clearly on an upward trajectory. And when I take a look at our, at our leading revenue generator, Remodulin, I'm kind of reminded of this quotation back from the 20th century. I believe it was Winston Churchill, World War II, but don't hold me to this and don't hold it against me if I didn't know for sure that it was Winston Churchill, for our English holders. But I believe he said something along the lines of, "This is not the beginning of the end, but the end of the beginning." And he was speaking with reference to World War II. But for me, I'm speaking with reference to Remodulin. It's kind of extraordinary for a drug that was launched in 2002 to 13 years -- 11 years later, still have striking revenue growth quarter-over-quarter, year after year. And somebody might say, "Well, is this the beginning of the end?" I mean, that's a long run for a drug, especially in an orphan market. But in fact, I feel very confident that it's actually only the end of the beginning and nowhere near the beginning of the end. And the reason it is just the end of the beginning is because we are now moving into an inflection period, where our Remodulin revenues are driven predominantly by parenteral delivery via subcutaneous or intravenous infusion attached to a pump that is carried outside of the patient's body. And among the patients and the doctors and the nurses in the pulmonary hypertension community, this is referred to as being on "the pump." And it's always said with kind of scary music in the background, that people are frightened that they have to go on "the pump." And it is, of course, something that any of us who are healthy enough not to need that, should really have a world of respect for those who do have to walk around 24 hours a day, 365 days a year with a catheter winding outside of their skin connected to a mechanical pump that is literally pumping medicine into their body with the full knowledge -- they all know that if that pump was to stop for any number of hours, they could face instant death. And people have died instantly from rebound hypertension due to an interference with parenteral prostacyclin delivery. So the pump is scary. Now despite that, as I just mentioned, we've grown revenues of Remodulin and are now -- actually have $0.5 billion a year revenue run rate within our eyesight. We're not there yet, but it's something that seems to be visible on the near horizon. But I really believe that this is just the end of the beginning because there is a revolutionary new product in our pipeline, which is the implantable Remodulin. And as I travel around the country and talk with physicians, I've not met one who is not tremendously excited and believes it will be transformative for their Remodulin class patients, these are New York Heart Association Class III or Class IV patients, to be able to have a pump implanted inside of their body in an outpatient procedure, likely perceived by most patients as being not that dissimilar from their friends or relatives who had a pacemaker implanted or who had various other things that get implanted into our bodies these days. And our implantable pump project is a unique partnership between us and Medtronic. And pursuant to this partnership, we paid for the development of the Synchromed II pump to deliver treprostinil, the active pharmaceutical ingredient in Remodulin, 24 hours a day via a pump which is built inside this device that is so small, the Synchromed II device that it's implanted inside the patient's abdomen and together with a very specially designed catheter. The FDA, when they first heard about this, they were also extremely thrilled, and saw this as -- from an efficacy standpoint, no different then the IV Remodulin drug that they had already approved, but said that they wanted to have a safety study conducted, which we call the Deliver study. Dr. Robert Bourge was the principal investigator of that study. And according to the study, we had to have patients on the implantable pump for a requisite number of patient years and have an event rate that would be no greater than 2.4, 2.5 events per thousand patient days while using the system. Well, that study accrued its necessary time faster than anybody had anticipated. And certainly, the first study that we've ever done at United Therapeutics -- and certainly, we would be in the top decile of the industry. That study was completed sooner than was expected because the results were so good. And in fact, we hit that endpoint, that primary endpoint with a P value better than 0.0001. A lot of zeros. That's good. We like a lot of zeros. And so there's absolutely no doubt that Synchromed II Remodulin delivery system, has demonstrated the primary endpoint to the satisfaction of where the FDA had wanted it to be set. What's now going on is there are a number of secondary endpoints that Medtronic is in the process of analyzing. And there are also additional checks and Is to be dotted, Ts to be crossed with respect to manufacturing, quality assurance, controls. So we all know and respect Medtronic for being a very deliberate and careful company, and that's certainly what we want from any company making things that go inside of our bodies. So we, here at UT, are really patient and waiting for our partner to complete its steps, and then, it will file its product marketing agreement -- product marketing application, PMA, for the Synchromed II. We will file a very minor change to our label to allow Remodulin to also be delivered via the Synchromed II with its associated specialized catheter. And the bottom line of all this, there's no scientific study, but I will say when -- as I talk to doctors, and I would welcome any of you to, most of them think that as many as the same number of patients that they already have on Remodulin will -- people who are resistant to go on Remodulin, will go on Remodulin because of the implantable pump. In other words, they would not walk around with the pump, but they would be willing to walk around with something that was implanted in their body. There was no sterile changing of their site. No prohibition against showering and swimming. No need to maintain a sterile section of their kitchen or their bathroom. No changing of the medicines every couple of days, so on and so forth. So that's why I say that I think this is really the end of the beginning, but nowhere near the beginning of the end because once Medtronic completes all of its efforts and once the FDA gives its approval, these terrific financial results that you've seen here today with regard to Remodulin should very well be double the level that you're seeing. And we find that to be tremendously, tremendously exciting and certainly, consistent with this being just the end of the beginning for Remodulin. Now with Tyvaso, things are just as exciting. You've seen in the financial results we released today, rapid uptake in Tyvaso. It's really in percentage terms. It's really striking how rapidly that's growing. And I simply would like to remind everybody that for Tyvaso -- Tyvaso as well, we are at -- no further along in the lifecycle than the end of the beginning because Tyvaso is the drug that most doctors like to use for their Functional Class III patients. They start off their patients generally on oral meds. That's kind of the least risk, most convenient thing to do. The patients progress, the great majority of the time, to become Functional Class III patients. And before going on the dreaded pump, there is the beautiful therapy we developed of Tyvaso. And there are about 10,000 to 12,000 patients in that demographic -- in that Functional Class III demographic, of which we just have, at the moment, we just have a minority -- a modest minority of those patients. So we have a lot of room to grow with Tyvaso. And I fully expect that the growth trajectory of Tyvaso is going to take it to at least 50% of all of the New York Heart Association Functional Class III patients. So I apologize if my introductory remarks have gone on a little bit longer than usual. But we have new shareholders, new holders coming into our stock all the time and it's always helpful, I think, to get everybody on a common baseline about what a tremendously exciting company United Therapeutics is, and how promising our existing products are, not to mention our pipeline. And hopefully, some of the questions from callers will elicit pipeline questions that Dr. Jeffs can address. So with that introduction behind us, operator, you may now open up the lines to any questions.
Operator: [Operator Instructions] First question is from Geoff Meacham of JPMorgan.
Anupam Rama - JP Morgan Chase & Co, Research Division: This is Anupam Rama in for Geoff Meacham. Just a quick question, you talked about the implantable pump as the Remodulin driver. But I was also wondering if you could expand on your thoughts about geographic expansion for Remodulin? And particularly, you've updated us on previous calls about China and Japan.
Martine A. Rothblatt: Sure. Dr. Jeffs, in addition to being in charge of the clinical development, is also in charge of the company's sales and marketing both U.S. and x U.S. He's had some great accomplishments in that area. And Roger, if you could talk about them?
Roger A. Jeffs: Yes, happy to. And good morning, everybody. So as people are aware, we had approval of Remodulin in China in the second quarter of this year. And then, we need to do some drug importation, some pricing metrics and other things. So we expect to launch in China in, probably, the second quarter of 2014, plus or minus several weeks or months around that window. In Japan, the filing for Remodulin has been made by our partner, Mochida. And we expect that approval to come also in 2014. So the Asian markets, in particular, will start providing revenue opportunity to -- revenue opportunity to us in 2014, but not prior to that. We're excited about the opportunity. The number of patients treated in China will be large. The cost of revenue to us for each patient will be lower, obviously, than what we achieve currently. But I think in aggregate, there's an opportunity to have material growth in our revenues as we move through the years in the launch in China. In Japan, we think the opportunity, currently for prostacyclins alone, is in the hundreds of million dollar range based on the opportunity that Flolan has enjoyed, as well as Ventavis. We think subcu Remodulin, given its share base here in the States, which is prostacyclin, has the majority share of parenteral product that Remodulin will quickly displace Flolan and also port 100 or more million dollars of revenue opportunity in the years as it reaches its growth opportunity. So there's a lot of sort of near-term current upside in Remodulin, particularly in China and Japan. Other countries are opening up as well, South Korea, Taiwan, et cetera, which we do through our partner, Ferrer. So we've certainly gone in that direction in terms of Asian growth, and excited about what the future holds for rest of world growth. In Europe, we've also -- I should remind that the audience that we have, most of our approved territories have approved intravenous Remodulin, and we're starting to get scripts and reimbursements for intravenous Remodulin. We've been somewhat strategic, however, where we've launched IV Remodulin in Europe because of pricing considerations and other austerity measures that are ongoing in Europe. But we're starting to see revenues from Europe for intravenous Remodulin. I'm very happy with the launch effort that our UTel [ph] office has made in that regard.
Martine A. Rothblatt: Thanks, Roger. That was a great summary. And for those of you who follow politics -- geopolitics, and you've heard the phrase "pivot to Asia," you know who invented that. Folks right here at UT.
Operator: Our next question is from Terence Flynn of Goldman Sachs.
Uya Chuluunbaatar - Goldman Sachs Group Inc., Research Division: This is Uya in for Terence. I just wanted to follow-up on Tyvaso. Can you just give us a little bit of color on why it's particularly strong this quarter? And can you also comment on the average treatment duration? And also, and separately, can you give us some timeline on the implantable pump? When do you expect Medtronic to have the secondary endpoints, announce this and be able to file?
Martine A. Rothblatt: Sure. Thanks for the questions from the lady from Goldman Sachs. Let me address the second question first, and Roger will sketch out a couple of his notes in the meantime and talk about this really great revenue driver for us and equal to our [indiscernible] top product. Tyvaso is really tied with Remodulin, in our view, as the major revenue producer for the company. So he'll talk about that in just a moment. We are not giving any forward-looking guidance on the date when we would launch the implantable pump. And it's sometimes very tough to do so because, as I mentioned, PAH doctors throughout the country are literally waiting with bated breath, and I'm not exaggerating there, for an implantable pump, it seems somehow shocking that given the lethality of pulmonary hypertension, especially once one is at the Functional Class IV level, that more than half of the patients who die from PAH never go on any form of prostacyclin, whether from our competitors, like Flolan or ourselves, Veletri or Remodulin. And again, it's because there is a fear factor associated with the pump that probably none of us sitting in the conference room can fully appreciate. So we would love to give people a concrete date of hope when that would be available. But I think worse than giving people hope is giving them hope and then, it's like dashed in terms of the timeframe in some way. And in this case, we are dependent upon 2 things outside of United Therapeutics' direct control: a, we're dependent upon Medtronic, which is a company far larger and bigger than us and it's really through their, frankly, it's through I think their grace and kindness that they have partnered with us on this program. It's a gigantic company and these revenues will not be big, big revenues to Medtronic. So we really have no influence or leverage over them, and we just really have gratitude for Medtronic. So I can't predict their timeframes internally, nor even probably can anyone there because multiple -- multiple departments within Medtronic must pass on something like a product marketing application that's going to engage their manufacturing group, their regulatory group, their compliance group, sales and marketing group, et cetera. Secondly, there's the FDA itself. And of course, for those of you who have followed Farid Naki [ph], followed United Therapeutics for a number of years, knows we have never gone out and predicted when the FDA is going to make any particular decision. So with those 2 things totally outside our control, hopefully, you'll understand why we can't make a forward-looking projection as to a launch date for the implantable pump. But what we can do is we can give you some really clear insight on why Tyvaso has become such a growth juggernaut and is such a desirable drug and the mean duration of patients on that drug. And to all of those questions, I'd turn the microphone over to Roger.
Roger A. Jeffs: Yes, thank you, Martine. So we're very pleased with the performance of Tyvaso in the marketplace. And I think there's really 3 drivers of that success. One is the increased number of prescribers. We currently have over 800 doctors prescribing Tyvaso. The increased number of scripts per prescriber has been an initiative that our commercial team has been keen to manage, and we're seeing increased scripts per prescriber. And finally, the increased duration of the prescription once it's started, which now has moved from a median of 18 months to a median of 19 months. And certainly, that's a continuing revenue driver as you improve the time on therapy. The other things that we've done to support these 3 levers is we've recently had a sales force expansion, and the focus of that is to appropriately reach and teach to new prescribers on either how to treat with Tyvaso or when to refer to physicians that can treat appropriately. And then, finally, I would say, innovation has helped Tyvaso. We've relaunched an improved device, the TD-100, that gave us a chance to visit with docs and teach about the device. We've recently had a label amendment, which talks about the long-term clinicity of the therapy and its benefits, including the use of 12 breaths 4 times a day if needed. And I think all of the these things, in aggregate, have led to the growth that we've seen and the success. But I would have to commend our commercial sales and marketing team on the fantastic job that they've been able to do in the marketplace.
Martine A. Rothblatt: Thanks, Roger. Perfect.
Operator: Our next question is from Robyn Karnauskas of Deutsche Bank.
Unknown Analyst: This is Mujib on behalf of Robyn. So my question is on the uses of cash. So can you please help us understand how you plan to use your cash going forward in terms of buybacks or business development program since you have a strong balance sheet?
Martine A. Rothblatt: Yes. Thank you very much, and we thank your sponsor, Deutsche Bank, for participating in the call. Our principal use of cash above that, that we need for operations, which, of course, continues to -- we spend more cash on operations each year as our revenues grow each year. In terms of cash accumulated above and beyond that, there are principally 3 buckets into which that cash would go. One bucket would be into reducing the number of outside -- of outstanding shares through cash buybacks. United Therapeutics has been one of the most aggressive share buyback firms in the biotech space. And in a moment, I'm going to turn the mic over to our CFO, John Ferrari, who would probably have these numbers a little bit more at hand. But maybe John, while I'm wrapping up here, you might be able to give an indication of approximately -- it doesn't have to be exact, what percentage of outstanding shares the company has bought back since its inception of buyback several years ago. But I think when you see the number, you'll see we are in the top tiers of biotech companies in terms of percentage of outstanding shares that we've bought back. We plan to continue buying back shares. And so that is, certainly, a #1 use of cash. Obviously, that is nothing more or less than, really, the financial equivalent of dividend-ing accumulated profits back to the shareholders. And so we're really happy and pleased to do that. The second thing is that from time to time, we have various capital expansion projects. One of the things we've done to reduce risk at the company is to bring more and more elements of manufacturing in-house because whenever we have manufacturing being done by a third-party vendor, there's a limit to the number of things we can do to have total control over what that third-party vendor does. I'm very proud to report on that point that during the past 12 months, for example, we have had at least 2, maybe 3 different FDA inspections at various sites that we have for drug substance and drug product manufacturing. And in all instances, we passed these FDA inspections with either flying colors or just very small nits that were not considered significant. And so we have a very clean record, and that's because we have invested many tens of millions of dollars in creating our own drug substance manufacturing. Our own formulation facility. Our own solid dosage form facility, which is going to be put to significant use. And then, the third use of cash is for opportunistic acquisitions of other exciting products that would seem to grow the company's value over the long term. One that I could point out most recently is, our R&D team identified a revolutionary technology from Europe, which would allow a single subcutaneous injection -- just an injection of treprostinil to achieve pharmacokinetic stability in the patient at the same rate, at the same levels as if the patient was receiving a 24-hour-a-day infusion, either via an XVIVO pump or an implantable pump. This is a type of drug delivery technology which truly is revolutionary. It goes far beyond simple PEGylation of drugs to achieve a longer-term duration in the blood, provides an enzymatic degradation independent means of maintaining PK levels. But we already know that treprostinil works like gangbusters from a pharmacodynamic standpoint. So being able to make it so easy for the patient if they just had 1 subcu injection a day and can reach the gold standard level of PK availability, would be extraordinary. So we used our cash on -- to acquire that technology. We continue to use our cash to make royalty payments and milestone payments and whatnot associated with that technology. John, do you happen to have the number that -- or roughly what percent of outstanding shares have been bought back over time?
John M. Ferrari: We've purchased almost 20%.
Martine A. Rothblatt: Wow. I mean even me, I should be jaded as a CEO but I'm not. I'm just so proud and so impressed. And I think you'd have to look a little bit harder to find biotech companies that have retired 20% of their outstanding shares. Thanks, John. Thank you, Deutsche Bank.
Operator: The next question is from Mark Schoenebaum of ISI Group.
Salim Syed - ISI Group Inc., Research Division: Martine, it's Salim stepping in for Mark. I just had a couple of questions. On the safety pump, I know you mentioned you can't provide any guidance. Earlier this year, you mentioned that you could launch it in 2015. Are you officially retracting that statement now? And then, also, was there -- I know there's some disclosures in the Q around hardware and software modifications. Are those things new to you? Or were you aware of those before or was there any other disclosure made in the Q that's new to you? And then, just on the Remodulin implantable pump, just some clarification on your statement about doubling Remodulin revenues? Are you anticipating any cannibalization from IV to implantable pump or is this going to be completely a new set of patients that are going to adopt the implantable pump?
Martine A. Rothblatt: Sure. So going through all those questions, I don't really think there's anything new at all being disclosed in this conference call. So everything is totally within what's been disclosed before and certainly, nothing is being retracted from before. All that -- let me go to your questions from sort of, I guess, the back end forward. So first of all, we have said for quite a while -- and it's because doctors have said for quite a while, that they cannot get more than half of their end-stage patients on the pump because the patients refuse to go on it. In fact, it's sobering to think there's a growing number of patients who actually demand to be removed from a pump and taken back upstream to an inhaled therapy. There's a recent publication by Dr. [indiscernible] reporting about 40 patients have gone from a parenteral delivery back to inhaled delivery. I would say, most centers with a significant number of pulmonary hypertension patients have had the experience of a patient who insisted on going off the pump. Now again, to keep things in perspective, this is a minority, people who want to go off it. The growth of Remodulin demonstrates more and more people want to go on it, and they're on it for longer and longer periods of time. Average time on Remodulin is now about 2 years. That's been a tremendous growth vector, and a huge credit to our strategic operations and commercialization groups who have -- who have been able to share information and techniques with prescribers, that have been helpful to patients' [indiscernible] and stay on a couple of years. But the basic Gestalt impression from PAH physicians is that about half of their patients who should go on a parenteral prostanoid refuse to. And sometimes, there's dexterity issues. The patients may have connective tissue disease that is just too hard for them to manage. Sometimes, there's social support type of issues. The patients live alone, there's nobody to help them with the -- maintain the sterile methods. Sometimes, there's -- there's a fright factor. For other patients, the subcu is too painful, but the IV is too onerous. For other patients, the IV -- they have difficulty keeping the area sterile, but the subcu is too painful. I mean, there's a million-and-one different possibilities that would be vanquished by an implantable pump. So the notion that the total number of patients receiving Remodulin could be about double and that, that's probably the ultimate peak potential of Remodulin, that's consistent with what we've said before and that's independent of cannibalization. Of course, some IV and subcu patients will want to go onto the implantable pump, but that doesn't take anything away from the other 50% who are dying and have never had the benefit of Remodulin or Flolan or Veletri at all. So that's the back part of your question. And on the front part of your question, 20 -- the additional disclosures in the subcu is just continued normal and customary information associated with the Synchromed II pump and the delivery system that is normal whenever any product moves from the clinical to the regulatory filing stage, the preclinical to clinical regulatory filing stage. So those disclosures are just the same type of additional immaterial data points that continue to become more important as the product gets closer to being launched. We're not saying that it could not be launched in 2015 or it will be launched in 2015. All we're seeing is that we're not making any forward-looking statements because we don't have adequate confidence on the date of launch and we don't want anybody to be misled.
Operator: The next question is from Liana Moussatos of Wedbush Securities.
Martine A. Rothblatt: Liana, I'm so glad we got to your question in. This will be our last question, but you've been such a long-term and astute observer of the company, I'm glad we got your question in.
Liana Moussatos - Wedbush Securities Inc., Research Division: Can you talk about the status of the neuroblastoma program in the earlier-stage pipeline?
Martine A. Rothblatt: Excellent. That's why I'm so glad that your question got in. Great question. Very helpful for everybody. Roger?
Roger A. Jeffs: Yes. Thank you, Martine. I'm very excited about the neuroblastoma program. It's basically the birth of what we are calling the Unither Oncology Group. It's led by Dr. Mary Smith, who's done a fantastic job working with NCI, in particular, to get the chimeric 14.18 antibody that's been shown to improve survival in patients with severe refractory neuroblastoma. We are in a very, very labor-intensive submission-build period. And the first submission that we're going to do is to the European authorities. We'll file an MAA in December. There's actually a filing date that's given to us, and it's in early December. So we're in the latter stages of building that submission. The components of that submission are the Phase III study that the cooperative groups did, the Children's Oncology Group. The follow-on 105-patient safety study, and then we did a PK study in -- a large number of patients to show equivalents between the products, if you will, from the NCI-produced lot of 14.18 and what we now manufacture at scale by a slightly different and, what I'd call, an improved process. So all of that has come together. That submission build will be done by December because it's a mandated date. In addition, we are building the submission for the U.S. regulatory authorities, and that will go in, in the latter part of the first quarter of 2014. That's on an accelerated review period, which is nice. So in actuality, even though Europe is filed first, it may be the U.S. application that's approved first, just given the 6 months versus the 10- to 12-month review that we'll get in Europe. But very excited. It's at the core vision and mission of this company to benefit patients with unmet medical need, and these patients are at the extreme end of that spectrum and they have a dire medical consequence that -- and we have a therapy that is life-saving. So we're very proud of this program. Excited about the new launch opportunity, and I think that the patient community, obviously, is very interested in when we can launch this product because the need is so great. So that's on 14.18. In terms of some other pipeline opportunities, I think Martine talked about the once-a-day TransCon opportunity for implantable. We're doing -- I'm sorry, the once-a-day injectable TransCon opportunity that's in the sort of IND enabling stage. We have Remodulin implantable pump that I think we've, for the first time today, announced that the primary endpoint data was highly, highly successful. And there are other secondary endpoint analyses that need to occur, but that's important. So then as I walk up the pipeline, oral treprostinil, just an update there. We had an end-of-review meeting in the spring. We had a resubmission in August. So we've just passed the 2-month phase of the 6-month review period. I won't comment on specifics, but we hope that by February 16, which is the action date that our response is complete and satisfactory so that oral treprostinil has the opportunity to be approved in the coming months. And that, certainly, will be an innovative and unique opportunity in the prostacyclin. Martine pointed out all of the limitations that pumps have in terms of patient introductions and patient retention. Oral will open up that market because obviously, taking an oral tablet several times a day is much easier than having a pump and will open up new opportunities and significant growth for us. In addition, our cell therapy program is now approved in Australia for its early Phase 1 safety study. And our first patients -- we expect our first patient in that city this year. So that's the genesis of most what we're doing. We're also doing some other work with beraprost in terms of the BID study, and that has begun enrollment as well and there's a lot of enthusiasm in the physician community about doing that study. So very excited, in particular, about some new opportunities in oncology and then, continuing to innovate and build with both near term and latter term opportunities with prostacyclins. And I think we're the clear market leader in prostacyclins. We enjoy about 70 plus-percent share of the inhaled market and about -- or sorry, of the parenteral market and greater than 80% share in the inhaled market and we look for that position to be maintained and then, grow from the new product launches.
Martine A. Rothblatt: Beautiful, Roger, thanks. A very robust pipeline, and thank you for managing it so expertly. That concludes our third quarter conference call. And I want to thank everybody for being on the lines. As you can see, it's a record quarter for us in terms of revenues. It's a record quarter for us in terms of non-GAAP earnings. The pipeline, as Roger just delineated, is robust. Everybody at the company is very busy. We've just pushed through 700 people in terms of company-wide headcount. So it's really very exciting to be at a company which is 17 years old, and you can say that all we are is at the end of the beginning. And we have the very exciting middle phase of our growth, and then even beyond that to go as we move into the rest of the 20 teens and 2020s. Thanks so much for your attention this morning. And we look forward to seeing you at an upcoming healthcare conference. Thank you, operator.